Operator: Good day, everyone, and welcome to Steelcase's fourth quarter and fiscal 2010 conference call. As a reminder, today's call is being recorded. For opening remarks and introduction, I would like to turn the call over to Mr. Raj Mehan, Director of Investor Relations.
Raj Mehan: Thank you, Jonathan. Good morning, everyone. Thank you for joining us for the recap of our fourth quarter and fiscal 2010 financial results. Here with me today are Jim Hackett, our President and Chief Executive Officer; Dave Sylvester, our Chief Financial Officer; Mark Mossing, Corporate Controller and Chief Accounting Officer; and, Terry Lenhardt, Vice President of North America Finance. Our fourth quarter earnings release, which crossed the wires this morning is accessible on our Web site. This conference call is being webcast. Presentation slides that accompany this webcast are available on ir.steelcase.com. And a replay of this call will also be posted to the site later today. In addition to our prepared remarks, we will respond to questions from investors and analysts. Our discussion today will include references to non-GAAP financial measures. These measures are presented because management uses this information to monitor and evaluate commercial results and trends. Therefore, management believes this information is also useful for investors. Reconciliations to the most comparable GAAP measures are included in the earnings release and webcast live. At this time, we are incorporating by reference into this conference call and subsequent transcript the text of our Safe Harbor statement included in this morning's release. Certain statements made within the release and during this conference call constitute forward-looking statements. There are risks associated with the use of this information for investment decision-making purposes. For more details on these risks, please refer to this morning's release and Form 8-K, the company's 10-K for the year-ended February 27th, 2009, and our other filings with the Securities and Exchange Commission. This webcast is a copyrighted production of Steelcase, Inc. Now with those formalities out of the way, I'd like to turn the call over to our President and Chief Executive Officer, Jim Hackett.
Jim Hackett: Thank you, Raj, and good morning to everyone on the call. I'm now reporting to you the results of the fourth quarter at Steelcase. But I'd like to establish that my comments from the third quarter in our last call still apply. Recalling that call, I established a simple framework. The recession has progressed through a beginning, middle, and an end. We felt then, as we do now, that we're seeing signs that the recession is bottoming out in our industry. And that there are a number of factors indicating the start of a recovery. My recent conversations with customers and decision-makers all over the world, frankly, support our belief that modest growth is possible in our coming fiscal year '11. Now I'll talk more about this confidence in a moment. But first, let me address the quarter. Now as we consider the fourth quarter results, we didn't know going in that this is a season for suppression of demand due to the holidays, potential bad weather, and politically – political rambling. We felt that the effect of all those in the past quarters did hit our fourth quarter results. Now that said and despite my pride in how our people managed through a very difficult year, and despite the anticipation of the better days I mentioned, I am disappointed in the fourth quarter. While we had expected that the seasonal decline we normally see in the fourth quarter would be larger than usual, this decline was even greater than we expected. We felt slightly short of our breakeven goal for the quarter, and therefore, the full year. Now as the details will show, some of the – these result also came from year-end tax adjustments, along with some unusual seasonal patterns. Thus, it should not be interpreted as dampening the earlier comments at the end of this recession may be near or business – our business won't improve in the future. Our industry is always slower to come out of a recession. This is the truth. And there still are some troubling signs of the global economic recovery. But we feel good about our ability to benefit from the coming recovery. We've continued to invest in new products and new markets during the downturn. And we've enjoyed modest growth in North America in some categories, like seating, in the fourth quarter. And there're other evidence that demand is returning, albeit slowly. I want to talk briefly about a few other things that inspire confidence. Now first, the continued interest in our products' design to support collaboration, very strong. We've invited some of our customers to test drive our newest product, media:scape. It's our platform for connecting with people information and the culture of a company in the way that they handle conferencing. And this test drive has been highly effective. In fact, a solid majority of the customers who sampled media:scape didn't want to give it back at the end of the trial period. They wanted to buy it. We have one global customer who is busy putting media:scape rooms into some of its key locations around the world to enable high def video conferencing. We've also had one of the top business schools in the country commit using media:scape throughout their newly-constructed facility. Look for this facility to get intense press coverage as they announce this transaction. At the same time, we just lost our Campfire collection from the Turnstone brand. Now this is also about collaboration, but in a much more casual and candidly lower cost way. Our dealer network is responding very positively to the range of solutions that we're offering right now between Turnstone and the Steelcase brands. My second reason for confidence is the education market. And there are two proof points here. We’ve been very pleased with reaction to the new ēno board introduced by our PolyVision subsidiary. It's creating a new interactive learning experience in the K to 12 classrooms. And we think there're going to applications in corporate environment meeting rooms as well. There's a unique competitive advantage with this product. In fact, the board is interactive. But the board itself needs no external power supply, rather, a unique technology embedded in the (inaudible) on the board allows the projected image to depict pen strokes from a special pen. Simply put, the environment doesn't have to be highly altered to adopt the board in a classroom. We've talked about our intensified approach earlier to higher education. And this includes colleges and universities, as noted. And they've been an important segment for us with our existing product portfolio. That segment's very healthy. And later this year, we'll be rolling our inside base products that were specifically designed for the classroom, an area that has lacked any sort of meaningful innovation for decades. The old stage on the stage classroom I know that many of us are educated in is going to change. And this is similar to our strategy in healthcare, where we started with the administrative office business and expanded into clinical spaces with new products based on our ability to observe, analyze, and deliver user-centered solutions. And healthcare leads me to my next point, which is about the opportunities available and emerging markets around the world. This invested in our distribution channels in the region and is paying off. We've won significant healthcare business in the Middle East, with our Nurture, our healthcare division. Although age is still a relatively small part of our business, it's really clear that this part of the world has emerged sooner out of the recession than North America or Europe. And today, we're better positioned than we were a year ago to increase share in China given our acquisition of the Ultra brand in China. It took longer than I would have liked. But now, we can report to you that we've integrated post the merger Steelcase and Ultra, both in sales and operations. Adding to my confidence is the progress we're making in reinventing our business model and improving, what we call, our fitness. Our reductions this past year and operating expenses are partially a result of this activity. We just held the grand opening of our second global shared service center. And the Steelcase employees in Monterrey, Mexico are helping us be more efficient, more agile, and more committed to customers. Contributing significantly to the expense reduction were across the board salary deductions taken for a year by our people in many parts of the world. I am really proud of what they did to help the company through the recession. In the year when the revenue declined by approximately 30% in one year, we made necessary reductions in our workforce. And we asked those who remained to take that salary deduction. I didn't have one complaint from one employee about that. They held their heads high, and remain committed to the company, our customers, and our shareholders. I thank them from the bottom of my heart. We made the decision to restore the salary cuts after one year because first, we didn't feel it was fair to use their base salary as a hedge against what is now going to be a slow recovery. And secondly, we are seeing improvements. We will make decisions on restoring other temporary cuts as we monitor the speed and the size of the recovery. As Dave Sylvester will discuss, we don’t see the first quarter as completely unburdened by the recession. But let’s give it across that we're more optimistic, that we have bottomed in this cycle, and have reasonably good prospects to post a little growth for the full year. Thank you for your continued interest in Steelcase. And now, I turn it over to Dave Sylvester, our Chief Financial Officer. Dave?
Dave Sylvester: Thank you, Jim. As Jim stated, the fourth quarter results were challenging. Seasonal order volatility in some of our geographic markets was more severe than anticipated resulting in lower revenue and operating results, compared to the estimates we communicated last quarter. In addition, we adjusted our valuation allowances associated with deferred tax assets and we incurred higher restructuring costs as we accelerated a few smaller initiatives. The result was that we reported a fourth quarter operating loss, excluding restructuring costs, of $10 million and a net loss of $14 million. As you know, we have dedicated ourselves during this downturn toward making a balanced approach between managing short term cost reductions in our business model and continuing to invest in our long term business strategies. On the one hand, we have taken significant cost reductions. And rest assured, we continue to aggressively pursue opportunities to further reduce our cost structure. On the other hand, we remain intent on protecting our future through a continued focus on our growth initiatives and continued investment in driving unparalleled customer experiences. In our ongoing pursuit of global competitiveness, we continued to identify opportunities to improve our organizational fitness. In fact, we mentioned during our last quarter’s call a number of smaller actions, which had been initiated in the third quarter. And during the fourth quarter, we initiated a few others. While none of these actions are material on their own, in the aggregate, we estimate that they will serve to reduce – further reduce our cost structure in fiscal 2011 by $68 million. We remain dedicated to our balanced approach and are confident that it will position us to perform well in the upcoming industry recovery. Turning to our fourth quarter results, from a top line perspective, year-over-year revenues declined 17%, adjusted per currency differences and deconsolidation effects, which is less than the year-over-year declines experienced in the last several quarters as our industry and Steelcase begins to be impacted by this recession in the third quarter of fiscal 2009. On a sequential quarter basis, our revenues in constant currency and adjusted for deconsolidation impacts decreased by approximately 9%, which was more than what we anticipated. Revenue in North America and in our largest market in Europe, France and Germany, was relatively consistent with our expectations; while revenue in Spain, Asia and the UK fell short of our internal estimates. In addition, revenue in the Coalesse Group suffered from very soft orders early in the quarter, but their order pattern has since improved. The fourth quarter operating loss, excluding restructuring costs of $10 million represented an improvement of approximately $70 million, compared to last year, which included $75 million of non-cash impairment charges. In addition, the current quarter results included a $3 million benefit associated with increases in the cash or undervalue of COLI, compared to a $10 million charge in the prior year. Beyond the impairment and COLI impacts, the remaining decline in operating results was driven largely by the loss contribution margins from the significant decline in revenue. In addition, the fourth quarter of last year included $11 million of reversals in variable compensation accruals linked to the impairment charges and overall results for the quarter. Other factors, which offset a portion of the negative volume effects, included benefits from recent restructuring activities and strong cost control efforts; approximately $11 million of lower commodity costs, compared to last quarter – or last year, sorry; and, a benefit of nearly $10 million from temporary reductions in employee salaries and retirement benefits. As compared to the third quarter, the $30 million decline in operating results, again excluding restructuring costs, was driven largely by the seasonal decline in revenue. Lower COLI results accounted for approximately $2 million of the decline, while the balance was linked to increased operating expenses. You will recall our reference to deferred spending patterns earlier in the year and our estimation that operating expenses in the first half of the year benefited somewhat from deferral spending activity to the back half of the year. We described some of this effect as simply a function of project timing and some as likely due to the distraction of restructuring activities, which has been very high for several quarters. While in the fourth quarter, we began to feel some of these effects as project activity, primarily related to product development, increased. In addition, we incurred additional bad debt expense in the quarter in response to a few specific issues in North America. And we recorded higher operating expenses in the international segment due to the catch up of the one-month reporting lag at Ultra, plus we recorded various year-end accrual adjustments in North America and Europe. The income tax benefit recorded in the quarter was reduced by approximately $6 million of charges related to valuation allowance adjustments associated with tax loss carry forwards. The adjustment, along with lower operating results, had the effect of lowering our effective tax rate estimate from 100% at the end third quarter to 56% for the full fiscal year. This relatively high effective tax rate continues to be driven in large part by significant non-taxable income from COLI. As we said last quarter, while we continue to estimate our longer term effective tax rate will approximate the mid 30s, the impact of tax credits, potential changes in valuation allowances, and non-taxable items like COLI can have significant impacts relative to lower levels of pre-tax income or loss. In addition, the healthcare reform legislation in its current state would have a negative impact on our effective tax rate as Medicate Part D subsidies are expected to be taxed under the current proposal. As of the end of the fourth quarter, our total liquidity position remains strong, and includes $179 million of cash and short term investments, $209 million of COLI cash surrender value, and $86 million of available capacity under our new credit facility. Capital expenditures approximated $9 million during the quarter or $35 million for the full fiscal year. Reported capital expenditures for fiscal 2010 exclude the final $15 million progress payment related to the delivery of a new corporate aircraft in the first quarter as we received net proceeds in connection with the trade-in of the aircraft, which was replaced. For next year, we estimate our base level investments will approximate $40 million to $45 million, plus we expect to make $9 million of progress payments towards replacement of our second aircraft. And we will incur incremental capital expenditures as we begin the consolidation of our white collar workforce in Grand Rapids to one campus. Moving on to the operating results for each of our segments and the other category, as I said, North America revenue was consistent with our expectations. Revenue decreased 20%, compared to the fourth quarter of last year with positive currency translation effects being essentially offset by negative dealer deconsolidation impacts. Sequentially, sales decreased by almost 11%, compared to the third quarter, reflecting a somewhat larger than normal seasonal decline. Orders in the fourth quarter, compared to the prior year, declined at a mid-single digit rate as expected, and patterns within the quarter also generally matched expectations. Orders remained at their seasonal lows throughout December and January, but rebounded in February as the beginning of the seasonal uptick drove a double digit increase over January. Orders have continued to strengthen through the first three weeks of March similar to seasonal patterns we have experience in previous years. Our March to-date average daily order rates are nearly 30% higher than the average for the fourth quarter, and almost 20% higher than the February average. More often than not, the strengthening patterns soften somewhat during the middle of the quarter before rebuilding through the summer months. Within our products categories, seating was the strongest performer – I'm sorry. Seating was the strongest performer during the quarter with a number of project wins driving single digit order growth over last year. Across vertical markets, our historical court office verticals appear to firm up in the quarter, with orders declining at a more moderate rate than the North America average. High-tech was the leader within this group posting solid order growth in the quarter, while the technical professional sector declined at a higher rate in average. The growth in High-tech was driven by an increase in orders from some of our largest customers in the segment. Within our group of growth verticals, government, education, and healthcare, federal government orders decreased slightly, compared to prior year. With several sizable projects won, but not yet ordered, we remain confident that this vertical market will generate solid growth during the upcoming fiscal year. Total orders within the education and healthcare segments, which have grown into two of our larger vertical markets declined at a higher rate than average in the quarter as both were late entrants into the recession. We continue to invest in and remain confident in these two segments. Customer visits were up again during the fourth quarter as compared to the fourth quarter of last year growing at a low single digit rate. Regarding pricing, project activity remained highly competitive, especially in the federal government sector. Compared to the prior year, we estimate pricing impacts in the fourth quarter reduced our year-over-year gross margins by a few million dollars. The decline was due to the removal of a temporary commodity surcharge that was in place last year. Operating income, excluding restructuring costs, was flat, compared to the prior year despite a $74 million decrease in revenue. Poly played a role generating $3 million of income in the current quarter, compared to a $10 million charge in the prior year. We also incurred $12 million of asset impairments during the prior year quarter, but this was largely offset by reversals and variable compensation accruals linked to the overall results for the quarter. Beyond COLI results and impairment charges, the positive effects of restructuring activities and cost reduction efforts, lower commodity costs, and strong plant performance contributed significantly to offset most of the negative contribution margin effects associated with lower revenue. We continue to strengthen our business model, which will benefit greatly from sales growth as our industry recovers from the current downturn. As compared to the third quarter, North America operating income, again excluding restructuring costs, decreased by $19 million, driven largely by lower revenue and lower COLI income. Plus our operating expenses increased sequentially due to product development activity and $2 million of additional bad debt provisions recorded in the fourth quarter related to a few issues within our dealer chain. In the international segment, sales decreased by 9%, compared to the prior year quarter. Adjusting for currency translation effects, we estimate the year-over-year organic decline in the international segment approximated 14% in the fourth quarter. International orders in constant currency declined approximately 15% in the quarter, compared to the prior year. Germany, France, the UK, and Morocco declined more than that. While Spain, northern, eastern, central and southern Europe as a group, and Asia Pacific declined less than the average. The Middle East and Latin America were bright spots posting order growth, compared to the prior year. And we remain encouraged by the prospects of increased activity over the balance of the year in these two markets, along with the Asia Pacific region. In addition, we are seeing increased project activity in France and the UK. And the stress of this downturn on the competitive landscape in Spain is beginning to resolve in some customers moving towards larger financially sound office furniture companies like Steelcase. The German market on the other hand remains somewhat uncertain as it was one of the last to enter the recession. And as a result, it could take another quarter or two to determine if it has found the bottom of its decline. International reported an operating loss, excluding restructuring items, of $4 million, compared to an operating loss of $2 million in the prior year. The decrease was largely driven by the reduction in volume offset in part by cost reduction efforts, the pace of which is tempered in our larger international markets by the process of negotiating with the related work councils. In addition, I want to highlight that our results in the UK continued to be negatively affected by a weak pound sterling relative to the euro as our supply chain leverages our euros on manufacturing model. In addition, we continued to fund our expansionary efforts in China and India. In the aggregate, these three businesses reduced our fourth quarter and fiscal 2010 operating income on a fully allocated basis by approximately $6 million and $21 million, respectively, which compares to $8 million and $18 million of losses in the prior year quarter and fiscal year, respectively. In the UK, we have taken significant actions to reduce our cost structure, though our results will remain susceptible to the pound-to-euro exchange rate. And in China, we have completed the consolidation of Steelcase and Ultra Manufacturing in a single facility in Dongguan. And we are and the process of merging the two sales organizations' showrooms and product development teams, which should reduce our losses at current volume levels. The other category, which includes the Coalesse Group, PolyVision, and IDEO, reported a decline in revenue of 12%, compared to the prior year. The Coalesse Group experienced a 26% decline in revenue; while PolyVision grew revenue at 15%; and, IDEO revenue was flat, compared to last year. As I mentioned earlier, the Coalesse Group suffered from very soft orders early in the quarter, which have since improved. At PolyVision, their results continue to benefit from an exciting new product called ēno. Compared to the third quarter, Coalesse experienced the 23% seasonal decline in fourth quarter revenue, while IDEO and PolyVision were much closer to flat. Excluding restructuring costs, the other category reported a $2.5 million operating loss in the fourth quarter, compared to a $69 million operating loss in the prior year, which included $63 million of non-cash impairment charges. Setting aside the impairment, operating results improved year-over-year despite the decline in revenue due to the benefits of restructuring actions and various cost control measures implemented over the last four quarters. Regarding our outlook for the first quarter of 2011, we expect to report revenue between $520 million and $540 million. This compares to $546 million in the first quarter of fiscal 2010, which included $40 million from dealers that has since been deconsolidated. The revenue estimate is based in a euro to US dollar exchange rate assumption of $1.35, which compares to an average rate of $1.42 in the fourth quarter and $1.33 in the first quarter of the prior year. In addition, this estimate is based on seasonal patterns, which typically result in first quarter revenue being flat to slightly lower when compared to the fourth quarter. For sequential comparison purposes, fourth quarter revenue included $14 million of revenue from dealers which no longer – which will no longer be consolidated in the first quarter. Giving effect to the recent deconsolidation and assuming a euro-to-US dollar exchange rate of $1.35, we currently estimate the level of revenue necessary for us to generate breakeven operating income before restructuring costs is approximately $550 million per quarter. With respect to commodity costs, we are not expecting much of the sequential increase in the first quarter, compared to the fourth quarter. And compared to the prior year, we estimate first quarter commodity costs will increase our global costs by approximately $4 million to $6 million. As a result of these factors, we expect to report a first quarter net loss of $0.05 to $0.09 per share, including approximately $2 million of pre-tax restructuring costs. As we said in the release, these estimates do not include any potential impact of the healthcare reform legislation recently approved by the US congress. The proposed legislation includes a provision, which will subject the Medicare Part D subsidy to taxation. If the legislation is enacted as proposed during the first quarter, the company may be required to record additional deferred tax expense during the quarter. It’s been a long five-plus quarters since the recession was first felt within our industry. But we're finally seeing nascent signs of a recovery. Throughout the downturn, our goal has been to be ready to take full advantage of the eventual recovery. On the one hand, we have taken and will continue to take significant steps in leaning out our business model. And on the other, we have launched a significant number of exciting new and innovative product solutions during the past year. Now, I will turn it over for questions.
Operator: Certainly. (Operator Instructions) We request that you limit yourself to two questions so that we may answer as many questions as possible in the time permitted. Please phrase your questions directly and as briefly as possible. Our first question comes from Budd Bugatch from Raymond James, your question please.
Budd Bugatch – Raymond James: Hi, Jim, and hello, Mark, and everybody there.
Jim Hackett: Yes. Hi, Budd.
Budd Bugatch – Raymond James:
Jim Hackett: Well, let me – I’m going to let Dave help you walk through the numbers. But let me give you, in an abstract level, this principle. And please don't take it as a lecture at all. It’s just I want to share with you the way I think about this, that the nature of global competitiveness is such that as you know in five years, it’s so different than it was then versus now. In fact, that's the talk I give all over the company about what business is. As Charlie Rose constantly has CEOs on his show, and I’m finding that interesting how many of them are indorsing that in the last five years, being global then versus now is different. And if you go – it’s that incessant shift in requirement to have the business model not just cost less, but be able to do more for less. So the design that we imparted is we've taken the globe and said, “Where can we optimize the geography for the whole system?” So think of that as anywhere in the network that we sit today that geography can serve its own constituency or its own proximate customers. But it did some other kinds of advantage that the whole system can take advantage of. We're going to use it. So you saw it implemented in this downturn. I’m really proud of a couple of people in the company. Two, shared service structures; third is the – in contemplation right now. And those have allowed us to not just arbitrage labor because we're changing some of the values that we're delivering to customers. And let me stop there and just say, "That’s an example of thinking about this business on a global scale. What’s the definition of that?" So that gets down to this quarterly call. And what are your expenses going to be, Jim Hackett, for the next quarter and the next year? I’m going to let Dave take you with where we can on that today. But understand, the bigger challenge is to design this system so that it stood beyond the recession. So Dave?
Dave Sylvester: So Budd, I’ll try to respond to your questions. You may have to follow-up because I’m not sure I grabbed all of them here, taking some quick notes. But I think we reported $168 million of operating expenses in the fourth quarter. So let’s use that as a baseline. And what we just said in the scripted remarks is there were a couple of million of bad debt charges in North America related to a couple of specific issues. We hope that those are not recurring, but there continues to be stress on our distribution channel as we navigate through the end of this recession. But if we thought there were going to be additional charges, we would have booked them in the quarters. I’m not aware of any go forward. So there were a couple of million in that $168 million. We also talked about some year-end adjustments. I’m not going to get into the details of those. But as we close our fiscal year-end and go through every single account reconciliation to get ready for the full audit, we ended up – usually with a net push. But this time, we ended up with a few million dollars of additional adjustments. Normally, we wouldn't expect those to be recurring and go forward. On the project activity, we've said that that was a little bit low in the first half of the year because of timing, but also because of restructuring activities and of overwhelming the organization. We have since repositioned some of our energy back toward the product development initiatives and getting ready for new account and other things. And so that could be up a little bit or for a few quarters go forward. So that’s the current quarter. So now I’ll go forward. So you get a sense that there’s a few million dollars that you wouldn’t expect to be recurring. And we have the dealer deconsolidation effect. So you should definitely anticipate operating expense dollars in the first quarter to come down. But that’s about as far as I’ll go. On the couple other issues that you asked about, salary reinstatement, we will definitely – well by the decision that we made March 1st, our operating expenses will go up by its portion of the salary reinstatement. We've said in previous discussions that reinstating salaries would cost us about $13 million annually. So think of that as $3 million or so a quarter, and probably two-thirds of that is in operating expenses. Beyond that, the balance of temporary reactions or the reinstatement of temporary reactions is linked to profitability. So we certainly hope to be accruing variable compensation in the coming year, and profit sharing, and 401-K matches, which were also included in our reductions, are subject to the level of profitability that we generate.
Budd Bugatch – Raymond James: And the question about the variability of OpEx to sales in your $550 million breakeven. What kind of variability do you have in terms of contribution margin to the EBIT line, but also then to the OpEx line or to the cost of sales line?
Dave Sylvester: Well, to be honest, I think of all of our operating expenses as variable. But at the same time and the short term, as you’re trying to model contribution margin, I would say a very small percentage actually fluctuates with sales on its own. So it would be less that 10%, would be my estimate.
Budd Bugatch – Raymond James: Okay. Thank you very much.
Operator: Thank you. Your next question comes from Matt McCall from BB&T Capital Markets, your question please.
Sean Connor – BB&T Capital Markets: Good morning. This is Sean Connor for Matt. I wanted to ask about the revenue trajectory. If we’re talking about – it sounds like you had some decent order patterns here coming out of the February month and into March, our outlook for Q1 is below normal seasonality, and – which would take us below the previous cyclical trough in Q1 in ’10, which we thought might hold going forward. But yes, we’re talking about modest growth for the full year. Are we seeing more pricing pressure expected in Q1? Or are we just going to see the top line ramp stronger once the stronger seasonal summer period comes to the forefront.
Jim Hackett: Well the answer to the last part of your question is we don’t entirely know what the summer order pattern is going to do. What we’re guiding in the first quarter is, really as I said, it's – that we expect normal seasonal patterns. The issue that maybe I should have included in the script is the level of backlog. So I'm not going to – I don’t know exactly or can I tell you what are level of backlog is versus last year. I imagine it’s flat to down a little bit. But the lower level of backlog going into the first quarter is what I’m a little nervous about in contrast to your question. I would also say, too, that three weeks don’t make a quarter. And as we’ve seen in the past, we have definitely had a moderating effect, more often than not, in the middle of the quarter before orders begin to re-strengthen through the summer months. So that’s really what we're anticipating is that it would follow that pattern. It could be stronger, certainly. But it also could be worse than what’s been typical just because we are not out of the out of the woods entirely from a recession standpoint. That helped?
Sean Connor – BB&T Capital Markets: Yes, it does. Thanks. Then I guess the China and the India investment, I think you were talking about reduction on the operating income line. I think that $21 million dollars, I think, was a little bit higher than last year. What has to happen for you that that starts making a positive contribution?
Dave Sylvester: There’re a number of things going on. First of all, those losses are getting smaller sequentially because of all the actions that those teams are driving. But we’re also intentionally continuing to invest in China and India because of the longer term growth prospects. The reason that I share that data is more to give you an insight into the rest of the international business. Sometimes what we do is we assume that the whole business is functioning at the level that we report. And so, what I would ask you to do is separate the business into two buckets, Western Europe, excluding the UK, and the rest of the international world. Really, the point being is that it’s operating at a little better level. In the UK in particular, what we need right now is the combination of volumes and for the pound to strengthen relative to the euro. And as we said, we are seeing increased activity in the UK, and so we’re counting on that.
Jim Hackett: And Sean, it’s Jim. I would add, Dave did a great job of characterizing that the context of thinking about the Steelcase business versus others that you follow is the nature of the global footprint were in. And recent visits by myself and the executive that’s in charge for China would confirm to us that these are really smart investments. The company’s doing better today than it was a year ago. I mentioned that in my comments. The changes that we've made in the back end of the business, factory consolidations to the merger of the sales organizations between Ultra and Steelcase are proving to be leaning metrics in yielding the results that we want. Its greatest risk, of course, in the country there, in China, is its economy sustainable at the growth rates. So you read a lot about bubbles. We see a tremendous amount of demand in that market versus North America and Europe right now. In India, the interesting challenge there is that as much demand, but the logistic systems and the evolution of the country isn’t as far along in supporting that. But likewise, the progress that we've made versus five years ago there are significant again. So both of these markets are really important today and in future.
Sean Connor – BB&T Capital Markets: Okay. Thank you.
Operator: (Operator Instructions) Our next question comes from Todd Schwartzman from Sidoti & Company.
Todd Schwartzman – Sidoti & Company: Good morning, everyone. Just to follow up on Budd’s question with respect to the op expenses in Q4 that are effectively one-time in nature, you mentioned that it was a few million – (inaudible) adjustments totaled a few million dollars. Was that more like $2 million or $3 million? Or is it closer to $6 million or $8 million?
Dave Sylvester: How about it's less than $5 million?
Todd Schwartzman – Sidoti & Company: Perfect, perfect. And on commodity costs, I heard what you said sequentially. I didn’t catch your year-over-year expectation for Q1?
Dave Sylvester: I think I said $4 million to $6 million. Yes, $4 million to $6 million versus the first quarter of fiscal ‘10.
Todd Schwartzman – Sidoti & Company: Okay. Increase, right, got it. Lastly, with respect to what was still going on in Washington these past few days. What are your thoughts on potential impact on Nurture in particular as far as demand, seeing that hospitals and nursing homes as being speculated or potentially seen at the early winter there.
Dave Sylvester: Just to be clear on the commodity, and then Jim will answer your Nurture question. Compared to the prior year, we estimate first quarter commodity cost will decrease our global cost by approximately $4 million to $6 million at increase.
Todd Schwartzman – Sidoti & Company: Thanks for that clarification.
Dave Sylvester: So Todd, the Nurture business is like the China and India discussion in the sense of the vibrancy. The demand has been higher that the other markets during this recession having shrunk as much and activity is very high. We’ve been running the traps, so to speak, on what the regulatory environment in the US might do. I would turn your attention to a Fortune article that has Dr. Cosgrove in it from Cleveland clinic where he describes, after President Obama was there, that what the effect on his system if that the growth rates slow in healthcare. But it doesn't – we aren’t going to see reduced costs over time. So we think the investment in healthcare will continue to be attractive as we have been saying since 2006 when we made the first leap into this market. The good news in that, there's no excise taxes on our equipment as it were other healthcare manufacturers. So that was – we never imagined that would happen. But I was glad to see that didn’t happen.
Todd Schwartzman – Sidoti & Company: Okay. Thanks.
Operator: Thank you. Our next question comes from Mark Rupe of Longbow Research, your question please.
Leah Villalobos – Longbow Research: Good morning, this is Leah Villalobos for Mark. I just wanted to clarify some of the cost reduction initiatives that you talked about that you completed in the third and fourth quarters. Are those incremental to $140 million that you’ve talked about in the past?
Dave Sylvester: Yes.
Leah Villalobos – Longbow Research: Okay. And when should we start to see the benefit of those actions?
Dave Sylvester: Throughout next year, a little bit maybe in the first quarter and the balance thereafter.
Leah Villalobos – Longbow Research: Okay. And I believe you said $6 million to $8 million, is that correct?
Dave Sylvester: Yes.
Leah Villalobos – Longbow Research: Does that include what you’re doing in the international business as well?
Dave Sylvester: Related to–?
Leah Villalobos – Longbow Research: I believe you hadn’t commented on some of the initiatives maybe taking a little bit longer to see the benefit of those savings in the international business.
Dave Sylvester: What we have – we mentioned last quarter that we were in the process of transferring our metal bending business to a third party. That’s included in the $6 million to $8 million.
Leah Villalobos – Longbow Research: Okay. Great. And then, as we see commodity costs rising going forward and in the context of the weak demand environment, is there an opportunity to raise prices at all, to capture any of those increases?
Dave Sylvester: Well, I’ll just say right now, what we’re not seeing is any significant sequential increase. I’ll stop there.
Leah Villalobos – Longbow Research: Okay. Thank you. Good luck.
Jim Hackett: Thank you.
Jim Hackett: I just want to make one comment, too, before the next question, if there are any additional questions on that, just follow-up with your question about sequential revenue. So I just want to make sure that in your modeling, what you’re doing is you’re taking our fourth quarter revenue of $552 million, you’re backing out the dealers that will no longer be consolidated, roughly $14 million. And based on the comments that I made about the euro exchange rate, we will have some lower revenue consequence or unfavorable currency translation effects between Q4 and Q1. So if you back out the dealers and you back out the currency translation and then you look at the top end of our guidance of $540 million, you would see revenue growth. So we are saying within the range of $520 million to $540 million that's the organic – again, sequential revenue growth could be slightly down to slightly up. So we’re recognizing that the order patterns are a little bit stronger. But at the same time, we’ve seen this before, and what we’ve seen is, more often than not, is that the order pattern soften before they start to rebuild going into the summer. So I hope that clarifies.
Operator: Thank you. Our next question is a follow-up question from Budd Bugatch from Raymond James, your question please.
Budd Bugatch – Raymond James: With trepidation, I asked a question about tax. First of all, as you look at the fourth quarter, what would be the taxable impact on the restructured items? And I guess on COLI, there is no tax impact, is that correct?
Dave Sylvester: Correct.
Jim Hackett: That’s right.
Budd Bugatch – Raymond James: And the restructuring impact – shield impact from the restructuring, has that had an effective overall rate or would we have a separate rate for that?
Jim Hackett: It’d be the typical effective rate on.
Dave Sylvester: Which is something around 77% for this quarter if we did the math right because taking out some of the other adjustments, the increase in valuation allowance.
Dave Sylvester: Yes. The way I get my head around this and the way I explained it to others and the company is that you put a little stretchy together that breaks the pretax income into three columns. One is the – it’s your – what’s left over. It’s the taxable loss. The next calendar's COLI income, which is non-taxable, these columns are the valuation allowance adjustments. And when you do that, you see the effective tax rate in the first column is round about where you would expect it to be in the 30s.
Budd Bugatch – Raymond James: Okay. So that’s the way we should model it going forward?
Dave Sylvester: No. I mean to the extent your tax affecting items, that’s what I would do. But I’m not totally familiar with the context of what you’re doing.
Budd Bugatch – Raymond James: I’m just trying to ask – I'm just trying to get a modeling – these are modeling questions to try to get us an ability to put out a model that we've had some degree of rationality. And in a dealer, the consolidations, it's $14 million for the first quarter. For the full year then, do I simply assume it's something in the order of $50 million?
Dave Sylvester: Hang on just a second. We have Marquez at the data. We can give it to you.
Jim Hackett: We’re going to give that in the 10-K. So it’ll be roughly $50 million to $55 million.
Budd Bugatch – Raymond James: Okay. Some of that was impacted already in the fourth quarter and third quarter, right?
Dave Sylvester: Just fourth quarter, about $5 million was the fourth quarter. So in total, the one will fall off. So with the one dealer, the full year, the other dealer is for three quarters. And that should be about in the $55 million range.
Budd Bugatch – Raymond James: Okay. And you gave the currency translation, I think, from the first quarter at $6 million. Is that right? And full year, if currency rates were now with a–
Jim Hackett: Yes, versus last year.
Dave Sylvester: Yes, that’s versus last year. If you’re doing sequential comparisons, it will be an unfavorable effect, actually something in the same neighborhood, I think.
Budd Bugatch – Raymond James: And for the full year, Dave?
Dave Sylvester: I haven't done the math on that.
Jim Hackett: Okay, we can follow up.
Budd Bugatch – Raymond James: Thank you
Operator: Thank you. Our next question comes from Jeff Matthews from Ram Partners, your question please.
Jeff Matthews – Ram Partners: Hi. Thanks. I think you said that your breakeven point on sales basis – quarterly sales basis is $550 million, is that right?
Dave Sylvester: Yes, at the euro-to-dollar exchange rate of $1.35.
Jeff Matthews – Ram Partners: Okay. What would that have been five years ago, roughly?
Dave Sylvester: I don't have it in front of me, but it would have been dramatically higher.
Jeff Matthews – Ram Partners: Quite.
Dave Sylvester: Maybe even it’s close to – as I said, I don't have it. If you follow-up with me–
Jeff Matthews – Ram Partners: Okay.
Dave Sylvester: I hope I can – but it would have been significantly higher.
Jeff Matthews – Ram Partners: $100 million or $200 million higher, something like that?
Dave Sylvester: At least $100 million.
Jeff Matthews – Ram Partners: Yes. Okay. So is there a reason why your peak operating margins in the next cycle should be lower, better, or even with the past peak?
Dave Sylvester: You tell me what the volume's going to be, and I’ll answer that question. If we were to get back to the same level of volume and assuming pricing didn’t behave in a wildly significant way, you would expect our margins to be better.
Jeff Matthews – Ram Partners: Right. Okay.
Dave Sylvester: The question is the volume.
Jeff Matthews – Ram Partners: Right. Well, no one can control that. But I mean we are – we are going to have a cycle. Your gross margin I think was something like 30% this last quarter?
Dave Sylvester: Yes.
Jeff Matthews – Ram Partners: And it struck me that I – looking back at the previous February quarters, that was close to peak. I think your peak was 32% gross margin, and yet your volumes were dramatically lower. So it does seem like your variable cost structure has been – has shrunken a lot.
Dave Sylvester: Well when you go back to and start comparing us to five, six years ago, we have reduced our cost structure dramatically and continue to try to variabilize [ph] the nature of our cost. I just don’t have the detail in front of me to react to–
Jeff Matthews – Ram Partners: Understood. But there's no extraneous effect that would make the comparison ridiculous.
Dave Sylvester: You mean in terms of coming back?
Jeff Matthews – Ram Partners: Right.
Dave Sylvester: No.
Jeff Matthews – Ram Partners: All right. Thank you very much.
Operator: Thank you. There are no further questions in the queue at this time. I’d like to turn the program back to you for any further remarks.
Jim Hackett: Well, it's Jim Hackett. And I think there are a lot of us toasted on New Year’s Eve the fact that the year was passing and the new one was coming. And for this fiscal year completion, we are delighted to be able to move forward and start the year that the optimism is higher. So I want to thank the employees again for their hard work and dedication, helping the company through a very difficult recession, and emphasize that the future is bright. Thank you very much.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.